Operator: Ladies and gentlemen, thank you for standing by and welcome to the Nordic American Tankers Investors Conference Call. I would now like to turn the call over to Herbjørn Hansson, Founder, Chairman, CEO. Please go ahead.
Herbjørn Hansson: Thank you. Thank you, Mondi and good morning to you. It’s a pleasure to be together with you. And we today will talk about the future of our company and the way forward. As an introduction, I will make some observations on the general position of Nordic American. And I will ask, in a way, the first question, what is happening in the marketplace? Our view is clearly at this time that there is scarcity of ships, there are too few ships in the marketplace. And when there are too few ships, rates go up and value of ships, go up. Our main focus is on so called ton mile, which is the same as transportation work. And we are seeing at this time that the transportation work is increasing. And we do see that very clearly in our worldwide operations. Nordic American is listed on the New York Stock Exchange and we have been listed there since 1975. And we have business all over the world. We have business in Japan, in China, in Korea and also in India. Collectively, I would call it East. I can tell you that we have a ship in China, about if not necessarily every week, but every 2 weeks or so, we are often in China. And we also have a presence in other parts of the world. And there is one interesting development I would mention to you is that if we had started lifting oil from Guyana in South America. That is an oil field, which essentially is managed by ExxonMobil. And we – our main focus and our main customers are what I call big oil, the big oil companies, ExxonMobil, Shell, British Petroleum and the like. And again, we focus on transportation work. And evidently, we have a lot of business in the Middle East and also in Saudi Arabia. One of my closer friends, he was living in Saudi Arabia for 13 years and he has been helping me a lot in understanding the country. We lift oil from the Port of Yanbu, in Saudi Arabia and we have close links with Saudi Arabia. Alexander Hansson, he is Head of our Operation in Monaco and he has closed friends in Saudi Arabia at the very top of that country. And the big question is I would like to mention what will happen going forward? And the question to a large extent is associated with the situation in Russia and in Ukraine. I would like to emphasize and note that in our group in Nordic American, we have not carried Russian oil, the last 18 months. In the past, we were lifting oil from the Port of Primorsk in the Baltic Sea, where – from which we lifted Russian oil, but it is 1.5 years ago since we have done that. As a general observation, I would say that uncertainty is always good for our business, because in uncertain times, we see the notion of hoarding. You wish to have reserve capacity to take care of demands coming out. And this time we see there is an imbalance between supply and demand of tonnage simply because there is not enough tonnage. And I am always often asked why the investor market is nervous? And I am probably not the right man to respond to that question. Because if you are in the tanker business, that’s not the place to be if you are a nervous person. We of course follow the American stage very closely and the action of the Federal Reserve. Generally speaking, observers seem to forget that the action of the Federal Reserve is good for some people and bad for other people. And then it is a question of understanding how this impacts our business. And I am not concerned about that. I would like to tell you about the financing of our business of Nordic American. We are now in a situation in which we clearly see that we will repay all that to our excellent partner, the Beal Bank of Dallas. And when we have repaid our debt, we are in a position to increase our dividend strongly from this level we see today and we expect to have repaid all debt to Beal Bank of Dallas in a year or so. They are our main creditor. And we have repaid them over the last few years and we now expect very clearly to be a debt free company in a year or two being able then to raise dividends significantly and not as a dividend company. And I would note that we wish to give priority to dividends. We have paid the dividend for more than 100 consecutive quarters. And dividend is and has been and will remain our priority. We will never leave that policy. I would also like to mention our excellent cooperation with the Ocean Yield, which is owned or controlled by KKR in Boston, Massachusetts. They had financed a number of our ships and our cooperation with them is excellent. When it comes to new business, we see now that there are many parties who wish to do business with us. Nordic American is very transparent. And we have been, as I mentioned, stock listed in America since the mid 1990s. And we have been operating in America before that. And everything about our company is in the open. There is nothing hidden as far as our company is concerned. I would also note that our major – the major oil companies are our main customers. I am talking about ExxonMobil. I am talking about Shell, the French group, Total and British Petroleum and the like and also the Norwegian major oil company, Equinor, which is controlled by the Norwegian government. Of special importance, we now see how we are able to reduce emission. We do reduce emissions from our ships through active speed management. I will explain this in more detail, because quite a few people are not aware of the fact. When we go into a loading area with our ships and we don’t have a cargo on board, then we go slow speed. When we go slow speed with our ships, we consume about 20 tons of bunker oil. When we go full speed with the same ship, we are consuming about 50 tons bunker oil. That’s a big difference. And in the past 10 years ago, we went much more full speed than today. And Mr. Coordinator, Mondi, you are sitting in camera I believe. I request you to – now to ask whether people will be asking questions. And I just felt I would like to give this introduction first. We are at a company in excellent position. And I am very enthusiastic that we have so many supporters in America and elsewhere and all around the world. Thank you, Mr. Coordinator.
Operator: Thank you, sir. [Operator Instructions] Our first question comes from the line of Omar Nokta from Jefferies. Please proceed.
Omar Nokta: Thank you. Hi, Herbjørn. Thanks for the update. Tanker rates have clearly been strong here for just about a year. Going on a year plus now, you have got plenty of experience in this tanker market going back. I don’t want to put too many ears, but at least into the 70s you have seen a lot. So just wanted to ask you to based off of what we have seen here and how the outlook is developing, how would you characterize this cycle versus what you have seen in the past?
Herbjørn Hansson: I don’t think I have seen a better condition than now. So that’s as I say with great seriousness, I have only been in the business for 50 years. And I am committed to continuing in this business for a long time to go. But at this time the conditions are excellent. And I am always concerned about I think you call it Black Swan is something we don’t see. And I have difficulty in seeing the Black Swan that simply also because a Black Swan never comes out in front of us. And I would make one special point, there is very low order become new tankers. There will be almost no increase of the fleet during the next year, two or three. We could discuss the details of that, but that is a main point. Secondly, what we do see of course also is that our main customers, I mentioned major oil and they look upon transparency and they know for sure that we had good ships and we have good people and that is the main principle in our group. We only wish to do business with good people and they know we have good ships. We have an excellent so-called vetting record that is the inspection of ships by our customers. We have the best vetting record in the industry. Sorry for talking for such a long time, Omar, but I hope this gives you a background.
Omar Nokta: It does. Thank you. No, it’s a very interesting setup as we move forward. And then just a follow up, you mentioned obviously the dividend and you paid 100 dividends or so and it’s been a key component of NAT since its founding in the ‘90s, you have the Beal Bank facility that’s set to get repaid hopefully, as you highlight over the next 12 months, how are you thinking about then you mentioned stepping up the dividend? Is there a certain threshold? You want to take that too, does that get to a certain percentage of earnings, whether that’s 50%, 75%, 100%, what are you thinking about the payout ratio once the Beal facility is paid off?
Herbjørn Hansson: I would like to ask my colleague, our Chief Financial Officer, Bjørn Giæver to elaborate a little bit on that question. Bjørn please.
Bjørn Giæver: Yes, hi, Omar. I think once the Beal facility is paid back on maturity, you could easily see our payout double from today’s levels, I mean or the dividend everything else being equal, the dividend could double from today’s level? And I don’t think NAT ever has had a policy of putting out a payout ratio, we usually distribute the excess cash that we find suitable and shareholders have usually been happy with that.
Herbjørn Hansson: I would note, Omar, that I and my family are the biggest private group in Nordic American and my son, Alexander in Monaco he did buy shares last week and he has now quite a lot of shares. And I have a lot of shares. And I am very confident about the future. I must tell you. Of course, nobody knows what the future is holding. But that is my job and our job here to tell you what we believe about the future. Because those people who know about the future are not many of them and we have to judge and we have to communicate effectively. And we have to communicate openly, but we will never, never say anything, which is wrong in our judgment. Thank you.
Omar Nokta: Thank you. Thanks Herbjørn. I appreciate that and thanks Bjørn for the color, so definitely sets up a really interesting payout going forward, where the doubling would take your dividend from potentially $0.15 to $0.30 quarterly. Well, good.
Herbjørn Hansson: Thank you, Omar.
Operator: Our next question comes from the line of Liam Burke from B. Riley. Please proceed.
Liam Burke: Thank you. Good afternoon, Herbjørn. Good afternoon, Bjørn.
Herbjørn Hansson: Good afternoon to you, sir.
Liam Burke: Herbjørn, as you pointed out to Omar, you haven’t seen a better market for your fleet. Could you give us a sense as to – does it change your chartering strategy? Do you want to lean more heavily to the spot market or do you see opportunities to lock in some rates on time charter basis?
Herbjørn Hansson: Let me respond to that. And my English isn’t all that good, but we now have a large fleet and to use an American expression, I believe this American we are raking in money. And we must have our objectives clear. And objective number one is to become debt free. Because when we are debt free, we have large flexibility, nobody can decide, except our Board can decide what we are going to do going forward, but it is important to have our eyes on the goal. And we must not let the goal become diluted, that’s the main point. But I mean, it’s not so easy to know about the future. But I as the Founder and Chairman and large shareholder of this group, I had to have a feeling and I had to have an understanding of the future. Because otherwise, if I didn’t know, when people ask me what you think about the future, I cannot say, I don’t know at all, because if I don’t know, then I would rather find another job. But coming back to the main point, we are in a good position. And it’s very exciting. And I can assure you, I will hang in there for long time. Yes, and Bjørn may supplement me.
Bjørn Giæver: Hi Liam. I think it’s in our business, which is volatile and highly cyclical, I think we do have a fairly high operational leverage. We are having 15 of our 19 tankers trading the spot market. And for this reason, we want to continue to take down our financial leverage so that we pay-down the Beal facility, which again will allow us to increase our dividends, like we talked about. So, I guess that’s – I don’t think we are going to change that in the near-term.
Liam Burke: Fair enough. You added two new vessels several years back, or you just took delivery of them? And do you have any interest by the oil majors, you would go in and order new Suezmaxes and attach some longer term charters to it?
Herbjørn Hansson: We had a close relationship with them. But we don’t wish to charter out long-term now. In the present situation, that is not our priority, because the major oil companies, they know that we have first class ships, and they know that we – I am sorry, I am not sorry to say I am proud to say we are first class people. And they rely on us. And we rely on them. That is the fact. But I am always saying like important [indiscernible], the biggest room in the world is the room for improvement. And we are always looking for ways to improve.
Bjørn Giæver: And I think for me, I think right now the challenge for a lot of people is that if you are going to order a tanker today, it will be delivered, probably early 2026. So, it’s a long lead time for that decision in order to commit to a long-term charter starting in 2026. And that is one of the reasons why the tanker market is going to continue to be good for a long while. And even after these couple of quarters with very strong earnings, the order book for new tankers has not moved. It’s still very low, yes.
Herbjørn Hansson: And I would like to add, when we ordered two of our recent ships, we paid about $54 million, $55 million. And a close associate of ours, he said that I was mad when I said we should order two ships at $54 million, $55 million. And we have had feelings out in the market, what would be the price now and the price would be in excess, probably of $80 million. And so that gives us a few rooms and it gives us financial stability and the financial stability is important for us, as I mentioned when we don’t have that anymore.
Liam Burke: Thank you. Thank you, Herbjørn. Thank you, Bjørn.
Herbjørn Hansson: Anybody else, coordinator? Mondi?
Operator: [Operator Instructions] We do have a question from the line of Thomas Steed, Private Investor. Please proceed.
Thomas Steed: Yes. Mr. Hansson, I am a Private Investor. And my question to you is not a financial one. It’s a practical one. You see, I am a tanker man in the United States merchant marine. And I would like to know your licensed masters’ deck pursues and licensed marine engineer, what is the majority of their nationality please?
Herbjørn Hansson: We have some ships with only Philippine nationals from the top to the bottom. We have been in the Philippines for 40 years. And we are very familiar with the position there. Secondly, I can tell you, today, we have Russians onboard the ship. And we also, I can tell you have Ukrainians onboard the ship. And they work excellently together, I can tell you. And we have seen that their cooperation is very good. That’s point number one. Point number two, they wish to hang on those ships and stay on our ships, because they are in a very unfortunate situation. And they don’t wish to go home and to join the war, very unfortunate war going on. But we do see now at pressure in the way that when we come to America, Russians are not allowed to disembark or embark. And there are strict rules governing these procedures. We go to America a lot. And our main commitment is always to observe American rules. When you are listed on the New York Stock Exchange, you must not infringe American rules. That is for sure. And that has been our main principle all the time. In summary, the cooperation on our ships is going excellently also between Russians and the Ukrainians. Thank you, sir.
Thomas Steed: I have a follow-up, sir, if I may.
Herbjørn Hansson: Absolutely.
Thomas Steed: I have been an investor since 2004 and as a tanker man, you said, we have good ships and good people. Now, obviously, I have noticed we haven’t had any groundings or major collisions. And I am proud to be a shareholder of NAT just for that one reason, it is run very efficiently with our officers and engineers. Thank you for your time today.
Herbjørn Hansson: I can tell you, sir, that those who have been with us since the mid-70s, mid-90s, sorry, they had received about $50 in dividend per share. And that is quite an achievement in my judgment. Also, because we cannot run the company based on 90-days periods, either a company can go up, it can go sideways, and it can go down. And if it goes sideways, and it goes down, it goes down. But Nordic American, the New York listed company, is definitely going up as we see it. Thank you, sir. And thank you for your interest, and thank you for being a shareholder with this. Mondi, any other questions?
Operator: We do have one final question from Ken Davidson, private investor. Please proceed.
Ken Davidson: Hi, yes. I wanted to go back to the question that was asked about the spot contracts. And I thought that when the last two new tankers were delivered, they were put under contract to the Sultanate of Oman, under long-term contracts. And I believe that I don’t remember exactly what the dollar amount was, but it was relatively low at that time, perhaps in the area of $15,000. Whereas some of the communications that you have put out recently, the spot contracts, for instance are much higher than that now, 50s, 60s. Was that the case? Do I have that right that the…
Herbjørn Hansson: You had it wrong. Short version is, you had it wrong. When we charted out these ships, we chartered them out 2023, ‘24 or something like that. And we charted them out for 6 years to create the financial stability at the time, but it’s always in the business. You know, when you are looking to setback the mirror, you look into mirror, you could always have done that differently. But we do appreciate very much our cooperation with the Sultanate of Oman. We enjoy that. And Oman is one of the closest allies of America in the Middle East. So, we are very friendly with them. And we are hopeful that we should be able to expand the business with Oman, in a way which is good for our shareholders, including my own family. Thank you, sir.
Ken Davidson: So, the following up with that the new – two new tankers were indeed put under long-term contract with the Sultanate of Oman, but for a higher amount.
Herbjørn Hansson: Yes, much higher than [indiscernible] mentioned, made almost mid-20s, ‘23 or ‘24 or so.
Ken Davidson: Thank you. Thank you very much.
Herbjørn Hansson: Mondi, any other questions?
Operator: There are no more questions, sir. I would now like to turn the call over to Herbjørn Hansson for closing remarks.
Herbjørn Hansson: Thank you very much for calling in today. You are free to call me or my colleagues any time, of any question. We will, in fact encourage you to call us because we believe that we know quite a lot about this industry. But the process of learning will never stop. We must always be better tomorrow than we are today or than we were yesterday, for which reason, I would thank you very much for spending time with us and taking your time. And it was indeed my pleasure to have you on the call here. Thank you very much and have a good afternoon.
Operator: Thank you, ladies and gentlemen. This does conclude today’s call. Thank you for your participation. You may now disconnect.